Operator: Good morning, and welcome to the Par Pacific First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded.  I would like to turn the conference over to Ashimi Patel, Director of Investor Relations. Please go ahead.
Ashimi Patel: Thank you, Kate. Welcome to Par Pacific's First Quarter Earnings Conference Call. Joining me today are William Pate, President and Chief Executive Officer; Richard Creamer, EVP of Refining and Logistics; Matt Vaughn, EVP of Retail; and Will Monteleone, Chief Financial Officer. Before we begin, note that our comments today may include forward-looking statements. Any forward-looking statements are subject to change and are not guarantees of future performance or events. They are subject to risks and uncertainties, and actual results may differ materially from these forward-looking statements. Accordingly, investors should not place undue reliance on forward-looking statements, and we disclaim any obligation to update or revise them. I refer you to our investor presentation on our website and to our filings with the SEC for non-GAAP reconciliations and additional information. I'll now turn the call over to our President and Chief Executive Officer, Bill Pate.
William Pate : Thank you, Ashimi. Good morning, everyone. Our first quarter adjusted EBITDA was $8 million and adjusted net loss was $0.53 per share. These results included a $5 million noncash mark-to-market expense for our 2019 and 2020 RFS compliance. First quarter results reflected lost profit opportunities associated with our Washington turnaround, the impact of rapidly rising crude oil prices in Hawaii and off-season conditions in Wyoming. Market conditions improved significantly in the second quarter. With the Washington turnaround behind us, we're focused on maximizing production in a highly profitable market environment. Over the past 2 months, refined product crack surged to all-time highs due to increasing physical crude costs, increasing demand and reduced supply from Russia. In addition, record natural gas prices have driven up production costs for refineries reliant on natural gas for utilities and hydrogen. Consequently, the April Singapore 3-1-2 Index is well above historical norms, averaging almost $30 per barrel compared with a 2021 average of $6.22 per barrel. Cracks are also at high levels in Wyoming and Washington. The war and related trade sanctions sparked rapid increases in crude oil prices during the first quarter and then stabilized above $100 per barrel during April. Higher prices have increased steam and electricity expenses and consequently, our refinery production costs. Market structure continues to be highly backward-dated, which offsets a portion of the record product cracks. Notwithstanding these adverse impacts, all our refinery units are currently highly profitable. Several of the factors affecting our first quarter capture rate in Hawaii and Washington have improved as oil prices stabilized and our refinery throughput increased. With sales volumes up, our logistics systems are also generating strong profits. We made considerable progress this quarter on our organic growth capital initiatives. In conjunction with the turnaround in Washington, several units were debottlenecked, and the refinery is operating at record throughput levels. We also completed work in Wyoming that should allow us to run at record levels this summer. We're completing the engineering for co-feeding in Washington to create renewable production optionality as the low-carbon fuel standard and Cap & Trade regulations emerge in that state. We also view this capability as a hedge against rising RIN prices. We were pleased with the recent EPA decision recognizing that delayed decisions on small refinery exemptions have a significant adverse impact on petitioners, although we did not agree that the agency should reverse prior grants of relief. The EPA should recognize the adverse impact of delayed decision-making as it considers our outstanding 2019 and 2020 SRE petitions. In closing, I want to introduce Richard Creamer, our new Executive Vice President of Refining & Logistics. Richard has a wealth of experience in refining and petrochemical operations and management. He joins us from HF Sinclair and previously worked for Flint Hills Resources, Lyondell and Invista. He also served a 4-year stint with us as the Head of our Hawaii Refining Operations. We're delighted to have him rejoin us. Richard, welcome back.
Richard Creamer : Thank you, Bill, and it's great to be back. Our teams performed well operationally to begin the year. And in Washington, we successfully completed the turnaround in March during which we completed the debottlenecking project to increase our throughput, the nameplate capacity of 42,000 barrels per day and around a larger percentage of [oblate] crude. Now we don't have any planned major turnarounds across our refineries for at least the next 2 years. First quarter Washington production costs were $7.35 a barrel, reflecting reduced throughput of 20,000 barrels per day as we completed the turnaround. Due to some additional discovery work, we extended the turnaround by 8 days impacting throughput rates. Second quarter throughput is expected to be back up to 41,000 to 42,000 barrels per day. As Bill referenced, we are progressing on our Tacoma renewables coprocessing project and expect to begin our co-feeding operation by early next year. Shifting over to Wyoming. Production costs were $8 a barrel and throughput was 15,000 barrels per day during the first quarter. We completed a limited outage to replace catalysts and dissipation of the summer driving season. Second quarter throughput is expected to be 16,000 to 17,000 barrels per day. Hawaii production costs were $4.38 a barrel during the first quarter, reflecting higher utility costs, which are tied to the price of crude. First quarter throughput was 83,000 barrels per day and second quarter throughput is expected to be 81,000 to 85,000 barrels per day. Distillate demand in cracks are strong across all our regions, and operational reliability and maximizing crude throughput are our principal goals this quarter given the very strong market environment. I'll now turn the call over to Matt to discuss our retail results and update on strategic initiatives.
James Vaughn : Thank you, Richard. The retail segment faced a number of challenges in the first quarter, including a sharp increase in refined product prices and continuing shortages in our merchandise offerings. Notwithstanding these hurdles, we were able to grow margins inside our stores while continuing to position the segment for growth. The Retail segment reported adjusted EBITDA of $6.7 million for the quarter compared to $8.4 million in the first quarter of 2021. This reflects approximately $830,000 of additional lease expense resulting from the sale-leaseback transaction that we closed in February of 2021. Adjusted gross margin grew by 3.2% compared to the first quarter last year, increasing from $25.3 million to $26.1 million. Fuel volumes rose from 24.8 million gallons in the first quarter of '21 to 24.9 million gallons with the return of international tourists to Hawaii and an eye towards the summer driving season, we expect further increases in our fuel volumes in the second and third quarters of the year. Merchandise gross margin grew by 4.4% during the quarter compared to the same quarter last year. Food and beverage sales continue to perform well, and we are working to expand our prepared food offerings across our operating regions to drive additional sales in these categories. As we announced last quarter, we are expanding our operations in the retail segment with the new store outside of Spokane, Washington scheduled to break ground during the fourth quarter. We are evaluating several other growth opportunities in the area, including additional greenfield development. Looking ahead, we continue to focus on maximizing convenience for our customers by providing more options to service their needs, including expanded self-checkout options, home delivery and pay at the pump. We're excited to launch our loyalty program in the Northwest during the second quarter and to develop a plan to expand food offerings across our network. While fuel and merchandise volumes have not yet recovered to pre-COVID levels, we anticipate continued increases over the balance of the year as crude prices continue to stabilize. I will now turn the call over to Will to address the financials.
William Monteleone : Thank you, Matt. First quarter adjusted EBITDA and adjusted earnings were $8 million and a loss of $31 million or $0.53 per fully diluted share. Focusing on accounting items first. Refining results include a $5 million noncash mark-to-market loss related to the 2019 and 2020 RFS compliance years. Excluding the mark-to-market RINs expense, our adjusted EBITDA and adjusted earnings per share was $13 million and a loss of $0.44 per share, respectively. Shifting to our segment results. The Logistics segment adjusted EBITDA contribution was $15 million, down sequentially from the fourth quarter by approximately $4 million. The largest driver of the decline was reduced throughput activity in Washington related to planned maintenance. Excluding the RIN mark-to-market impacts, Refining segment adjusted EBITDA was $5 million compared to $8 million in the fourth quarter. Focusing on Hawaii first. The first quarter Singapore 3-1-2 increased approximately $5.72 per barrel to $16.21. Feedstock costs were approximately $3.67 premium to Brent compared to the initially provided estimate of $3.50 premium. Putting the 3-1-2 Index and feedstock indexes together, the overall margin environment improved about $4.70 per barrel versus the fourth quarter. The net impact of rapidly rising prices largely offset the market improvement and the impact of crack spread hedging, increased backwardation and increased yield costs and other items caused another $4 per barrel capture headwind, and an approximate $9 per barrel. Looking forward, market conditions continue to improve with the 3-1-2 averaging almost $30 per barrel in April. We anticipate landed crude differentials will be between $4.50 and $4.75 per barrel during the second quarter, reflecting increasing backwardation and a tighter physical crude market. We have continued our crack hedging framework and currently have approximately 25% to 30% of our Q2 sales hedged at an average 3-1-2 of $14.25 per barrel. With flat price stable to down versus March, we currently don't project further price lag impacts. Backwardation remains elevated relative to history, albeit Q2 levels are currently well below peak levels. Current month 1 versus month 2 levels are in the $1.50 per barrel range consistent with the average backwardation expense we realized in the first quarter. In Washington, market conditions improved slightly compared to the fourth quarter. Major moving pieces compared to the fourth quarter were lower throughput related to the turnaround, increased backwardation and asphalt margin compression due to increases in flat price. While we were able to maintain budgeted turnaround outlays, the turnaround was extended by 8 days impacting throughput rates and causing us to purchase additional refined products. Total loss profits related to the turnaround were approximately $15 million to $20 million. Looking forward, the April PNW 5-2-2-1 Index increased to nearly $40 per barrel, led by improving distillate margins. Wyoming market conditions improved slightly with the Wyoming 3-2-1 improving to $26.53 from $23.67 during the fourth quarter. The estimated FIFO benefit was $17 million or $12.44 per barrel. Wyoming market conditions are improving with the April 3-2-1 improving to $49.86 per barrel in April. Shifting to Laramie. Laramie generated hedged adjusted EBITDAX of $22 million, unhedged adjusted EBITDAX of $30 million and a net income of $33 million during the first quarter of 2022. Capital expenditures totaled approximately $0.4 million. During the quarter, net debt improved by $22 million from $92 million to a $70 million ending balance. Exit production as of March 31 was 104 million cubic feet a day equivalent. Laramie is commencing a small development program for approximately 7 wells, totaling $11 million and evaluating a larger development program. Shifting back to the Par Pacific cash flow statement. Par Pacific's first quarter cash flow from operations, excluding turnaround funding, was $21 million. Working capital inflows, excluding turnaround, totaled $115 million. This reflects a reversal of the fourth quarter outflows we messaged in prior communications. Capital expenditures totaled $16 million. In addition, we repurchased $5 million of stock during the quarter at an average price of $13.70. Our net liability for the 2019 and 2020 RFS compliance years totaled $119 million based upon a weighted average RIN price of $1.43 as of March 31. Our quarter end liquidity totaled $212 million, made up of $141 million in cash and $71 million in availability. With the strong market environment and completion of turnaround activities, we expect liquidity to build for the remainder of the year. This concludes our prepared remarks. Operator, I'll turn it back to you for Q&A.
Operator: [Operator Instructions] The first question is from Carly Davenport of Goldman Sachs.
Carly Davenport : I wanted to just start on the refining environment in Hawaii. Obviously, a lot of moving pieces there, impacting margins in the first quarter. So could you just flesh out a bit kind of how some of those pieces are tracking thus far in 2Q, how you'd characterize your ability to kind of capture the strong margins we're seeing on the screen and kind of ultimately at these type of margin levels where you could see profitability tracking in the second quarter?
William Monteleone : Sure, Carly. It's Will. I think the best way to think about that is ultimately the price lag impact that we referenced in Hawaii was during the quarter was about $4.50. And so again, with the current price environment, we don't expect that to repeat. And so again, I think that's the single biggest factor that will improve capture rates in Hawaii during the quarter. And again, I think the other factors that are at play backwardation, increased yield costs and then the crack spread hedging, I think, are all factors that we expect to continue. But nonetheless, I think we're expecting an improving capture environment given the current slot price dynamics in Hawaii.
Carly Davenport : Great. I appreciate that. And then the follow-up was just around kind of renewables in the coprocessing opportunity that you've talked about at Washington. As we think about the rationale there, how should we frame kind of the current economics of producing renewable fuels versus the benefit around kind of mitigation of rents in terms of driving the investment in that project? And then just on the volume side, I think you mentioned start-up in kind of early 2023. But how should we think about time line to kind of ramp to the, call it, just over 2,000 barrel a day number that you referenced in the deck?
William Pate : Carly, this is Bill. I would say, first of all, that we look at this as an availability project, not a project where we intend to be producing renewable diesel. It's a relatively small project that really positions us to address LCFS credit units if that market starts to run. The capital requirement we're talking about is very low single-digit millions, and we expect to be capable of producing renewable diesel early next year. But again, we're completing this project solely to have the optionality to address LCFS and RIN's pricing.
Operator: The next question is from Matthew Blair of Tudor, Pickering, Holt.
Matthew Blair : I was hoping you could talk about the air traffic trends in Hawaii. It looks like they're actually trending better than U.S. averages. Just wondering if that's coming through in your jet demand? And then also, would we expect to see that help out your logistics segment?
William Pate : Matt, this is Bill. It actually helps us in a number of different areas, and I'm going to let Matt Vaughn also address some of this on the retail front. But yes, we are seeing increasing travel in Hawaii. We're starting to see more international travelers, most importantly. And the international travelers tend to stay longer. They travel around more. So there's more consumption. And frankly, the resorts, I think, are hiring more. So we're seeing a pickup in jet, I don't know that that's going to have a significant impact on our logistics system at this point because we're really pretty heavily utilized. And I think the marginal barrel at this point in the state in terms of jet consumption is an import barrel, so probably the area where we're going to start to see a benefit here, I think, is on the retail front. Matt, do you want to address that?
James Vaughn : Yes, this is Matt. I think that's correct. So far as of the end of April inbound flights from Japan to Oahu were up about 7x compared to where they were in April of 2021. That will impact both the flights into the island, jet consumption as well as volume that we derive from the retail stores as well.
William Monteleone : And Matt, this is Will. Just to give you a sense, I think the aggregate volumes in Hawaii still hadn't fully rebounded the prepandemic levels on the fuel volume side in the market. And again, I think probably we're seeing at 90% of prepandemic levels. And again, I think the last leg there is ultimately international travel and then employment, as Bill referenced, in Oahu principally.
Matthew Blair : Sounds good. And then could you provide an update on any potential monetization of the Laramie strength, just given the strong earnings that's been putting up?
William Monteleone : Yes, Matt, I think we're evaluating our strategic options for Laramie, as we speak. And I think with natural gas prices materially improving in fundamentals, there are really driving and growing set of alternatives for us to consider. So I mean I think we're valuing everything from a sale of Laramie to ultimately steps Laramie can take to simplify its capital structure, so profits could be distributed on an annual basis. But again, that business and the fundamentals and its leverage are improving markedly.
Operator: The next question is from Alejandra Magana of JPMorgan.
Alejandra Magana : This is Alejandra Magana. I'm covering for Phil Gresh. Assuming that cash flow materially steps up in the second quarter with stronger cracks and no maintenance, how do you think about buybacks versus debt reduction?
William Pate : Alejandra, this is Bill. Our priorities really haven't changed. And certainly, our highest priorities just will be funding the growth of our business, whether it be expanding our refining logistics capability or increasing our retail store base capital requirements necessarily really require us to focus on reducing our cost of capital. And I continue to believe that reducing our debt has the most significant impact. As Will noted, we have also opportunistically repurchased our equity when it's attractive, and we will continue to assess the market and act accordingly.
Alejandra Magana : Got it. And my second question is in the stronger environment we're seeing today, are there any projects that you would consider accelerating particularly around some of the energy transition opportunities that you talked about?
William Pate : A number of the energy transition projects we're working on require either government support or work with the government, and the government doesn't really respond to a changing market environment. So I don't think any of our energy transition projects will be accelerated. For example, the hydrogen project in Washington is really going to be a function of federal funds and support for a regional hydrogen hub that will be pursued in conjunction with local partners. The reality is coming out of turnarounds, we've got our refineries running. We think we can generate a fair amount of cash flow. We'll be using that to simplify our capital structure and build up our balance sheet.
Operator: The next question is from Jason Gabelman of Cowen.
Jason Gabelman : Yes. I have a couple of questions. The first one, just trying to understand that the net impact of rising prices on the business. You noted a price lag in Hawaii, but then there are these offsetting inventory benefits. So how do you think about the net impact of rising prices to the business if there is one at all?
William Monteleone : Yes, I think it's probably about $10 million, Jason, of impact in the quarter, approximately. And again, the price lag impacts that we referenced in Hawaii, and then in addition, the asphalt impacts in Washington, again offset with the inventory benefits in Wyoming and Hawaii also. So again, I think that's probably the best way to think about it, net for the quarter.
Jason Gabelman : Got it. And then my other one, just going back to uses of cash. I guess it sounds like, Bill, last quarter, you were kind of discussing how you're comfortable with the balance sheet. Now it sounds like maybe you want to pay down more debt. Can you just clarify those statements? And then kind of connected to that, there's obviously a large seller in the market that's probably putting some pressure on your share price. And just given the outlook that you're going to be generating a lot of cash over the next couple of quarters. Is there any engagement to try and remove that overhang?
William Pate : Well, I don't think it'd be appropriate to comment on the recent sales of a major investor. But just think about it in the market context, in general, we did repurchase some equity last quarter, with even the liquidity we generated over the last couple of quarters. We do continue to believe that our debt is high-cost debt, and so we'd like to take that out. We think that's going to be accretive as well. And so we think that reducing our debt will ultimately allow us to access the credit markets on, let's just say, a lower cost basis. And I think reducing your cost of debt should eventually impact our share price in a favorable way as well. So it's a little -- I mean I hate to say this. It's a little bit of all of the above depending on the market context, when available, but we do expect to generate liquidity. We also have to keep in mind that we have these RINS obligations, and we're in this morass with the EPA. And we want to take that into account when we think about appropriate level of liquidity as well.
Operator: The next question is from Andrew Shapiro of Lawndale Capital.
Andrew Shapiro : Just a quick question. I don't know if it's the year-end number or it's just the current number. But what's the tax NOL at and about how much a year is now expiring?
William Monteleone : Andrew, it's Will. The current balance is about $1.6 billion. And ultimately, I think the expiries don't begin until the 2027 and beyond time frame. So no current period expiries that we're concerned about. And again, I think we are confident we're able to manage the NOL balance to shield cash flows and profits going forward.
Andrew Shapiro : Sure. And in the event you were to sell off Laramie and it would have a sizable gain, does the way it works is that, that gain would then chew up the 2027 expiries, the 2028, the 2029, in other words, the nearest term expiries would get used up, and we would -- and there would be even less risk of the loss of the rest of the NOL?
William Monteleone : Yes. I think, Andrew, versus getting into the specifics of sort of the NOL balances, I think what we'd say is to the extent we have any gain on a potential Laramie sale, I think we could conduct a tax-efficient manner. And so again, I think -- and again, I don't think we foresee any impact for the ability to utilize NOL on a go-forward basis.
William Pate : I'd also just say, Andrew, based on our outlook for the business, we really don't see NOLs expiring. We anticipate that we'll be using those tax attributes to offset profits?
Operator: The next question is a follow-up from Matthew Blair of Tudor, Pickering, Holt.
Matthew Blair : I think it's probably for Will. But did you mention the Q2 hedging at 25% to 30% in Hawaii at this $14.25 strike. Is that correct? And then is there like a mark-to-market, a negative mark-to-market that we should be thinking about so far in Q2 on that?
William Monteleone : Matt, you've got the numbers correct, 25% to 30% of the sales at the $14.25 level. And again, I can follow up with you offline. But I think, ultimately, you can take our projected -- our typical sales volume -- and I think input what average price you want to use for the 3-1-2 to calculate the mark-to-market is moving quickly by the day. So I think we're trying to give a number that help people create their own sensitivities around that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to William Pate for closing remarks.
William Pate : Thank you, operator. I want to thank all of you for joining us today. We're pleased to have all of our units up with recently completed turnarounds and no major outages. And as we enter this favorable market for our refined products with growing liquidity and profitability, we think we have a bright near-term outlook. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.